Company Representatives: Dick Johnson - Chairman and Chief Executive Officer Andy Gray - Executive Vice President, Chief Commercial Officer Lauren Peters - Executive Vice President, Chief Financial Officer Jim Lance - Vice President, Corporate Finance, Investor Relations
Operator: Good morning, ladies and gentlemen, and welcome to Foot Locker’s Fourth Quarter 2020 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. This conference call may contain forward-looking statements that reflect management’s current views of future events and financial performance. Management undertakes no obligation to update these forward-looking statements, which are based on many assumptions and factors, including the impact of COVID-19, effects of currency fluctuations, customer preferences, economic and market conditions worldwide and other risks and uncertainties described more fully in the company’s press releases and in reports filed with the SEC, including the most recently filed Form 10-K or Form 10-Q.  Any changes in such assumptions or factors could produce significantly different results and actual results may differ materially from those contained in the forward-looking statements. Please note that this conference is being recorded. I will now turn the call over to Jim Lance, Vice President, Corporate Finance and Investor Relations.  Mr. Lance, you may begin. 
James Lance: Thanks, operator. Welcome everyone to Foot Locker, Inc.’s Fourth Quarter Earnings Conference Call.  As described in today’s earnings release, we reported fourth quarter net income of $123 million compared to net income of $134 million for the fourth quarter of last year. On a per share basis, fourth quarter earnings were $1.17 compared to earnings per share of $1.27 last year.  This year’s quarter includes pre-tax charges of $62 million related to the impairment of certain underperforming stores, a $4 million charge related to the impairment of one of the company’s minority investments, a $4 million charge related to reorganization of headquarters and support organization in EMEA, an $11 million gain that primarily reflects an advance on our insurance coverage related to social unrest, and a $5 million benefit in our deferred tax assets due to changes in Dutch tax law.  Excluding these items, fourth quarter non-GAAP earnings were $1.55 per share, down 4.9% compared to earnings per share of $1.63 for the fourth quarter of last year. Lastly, 2020 full-year non-GAAP earnings were $2.81 per share, down from $4.93 in 2019.  Unless otherwise noted, the figures and rates mentioned during our call today will be based on non-GAAP results. A reconciliation of GAAP to non-GAAP results is included in this morning’s earnings release.  We’ll begin our prepared remarks with Dick Johnson, Chairman and Chief Executive Officer. Andy Gray, Executive Vice President and Chief Commercial Officer will then provide additional insights into the business drivers in the quarter. Lauren Peters, Executive Vice President and Chief Financial Officer will then review our fourth quarter results and provide some directional color around the first quarter of 2021. Following our prepared remarks, Dick and Lauren will respond to your questions. With that, I’ll now turn it over to Dick.
Dick Johnson : Thank you, Jim. Good morning, everyone, and thank you for joining us. First off, I want to sincerely thank every associate at Foot Locker Incorporated for their commitment to the business through this remarkable year. Without their agility, focus and creativity, we could not have overcome the many obstacles we encountered in 2020. Whether it was our store teams that are definitely tackling the huge lift of closing and reopening our large store fleet or our corporate employees quickly adjusting to function at a high level in the new work-from-home environment, we demonstrated what can be achieved in the face of adversity when our people band together and perform as one team. I’m extremely proud and grateful to lead this exceptional group.  Consistent with that, we are pleased to report that we delivered a strong bottom line result against the challenging macro backdrop in the fourth quarter. While we experienced some top line headwinds due to COVID-related store closures in Europe and Canada, coupled with inventory delays due to congestion at the domestic ports, our overall performance shows that our teams were able to perform at a high level and remain focused on our customer.  Our results were fueled by a solid product pipeline, an exciting holiday campaign and healthy customer demand. As a result, we drove strong full price sell-through, healthier margins and higher inventory productivity and several of our divisions comped positive in Q4. Moreover, on the whole, we saw sequential improvement as the quarter progressed. Following a low double-digit decline in November, comps turned modestly positive in December and January, finishing the year on a strong note. We believe the effect of fiscal stimulus was a positive in January as well.  Our digital business remained the catalyst through the quarter, delivering impressive double-digit growth overall with strengths across the board. In regions most heavily impacted by store closures, digital growth was up triple digits. In fact, in Europe, COVID-related restrictions have been an accelerator for digital capability and growth.  For example, omnichannel growth in France was positive for the combined December/January period. Complementing the digital strength are some exciting new stores in this key market, including the opening of our Paris Power Store in Rue de Rivoli. As we’ve said before, we expect some of this accelerated shift to digital to remain permanent.  Youth culture is increasingly looking towards digitally-led and culturally-connected brands for engagement. Our significant investment in our digital capabilities has laid a strong foundation for us to continue deepening these connections with our customers.  Turning back to our performance, I’d like to highlight Asia Pacific as it was our fastest-growing geography globally, fueled by both strong growth in Australia and New Zealand and continued expansion across the region.  We opened our first three Foot Locker stores in South Korea, including a Power Store in Hongdae and a high-profile store in Myeongdong. The latter is located in M Plaza, the premier shopping area in South Korea. Our store boasts three levels, including enhanced basketball and women spaces and local artwork throughout the store. With one of the largest online markets in Asia, we expect South Korea will be an important long-term omnichannel growth driver for Asia-Pacific in fiscal 2021 and beyond.  Andy will provide more detail around product highlights in the quarter and what we see in the pipeline for Q1. At a high-level, ongoing strength in basketball remained a key driver within footwear. And while performance in running and other categories was impacted by shifts in the launch calendar, elevated storytelling around strategic brands such as Ugg, Crocs and Vans also contributed to the excitement during the holiday period. Within apparel, comfort trends around fleece remained strong, but as was the case with footwear, inventory pressure hurt our ability to entirely meet that demand.  Now, let me provide an update on our strategic initiatives and technology milestones. Beginning with FLX, this month marks the one-year anniversary of the North America launch of this important loyalty program, and I’m pleased to say it was a successful year. Globally, we now have more than 17 million members enrolled in the program and we continue to see encouraging trends in the performance metrics.  On average, members are spending more and shopping more frequently than non-members and often across multiple banners. Importantly, FLX is also proving a valuable customer acquisition tool with over 44% of our members representing new-to-file customers. I look forward to keeping you updated as we aim to aggressively grow FLX membership. Moving to our key technology initiatives, we made strides to improve our omnichannel capabilities and to add new functionality in Q4. First, we further developed our omnichannel experience by activating a Shop My Store feature on our website, which makes it easier for our customers to find products that they can pick up in nearby stores, strengthening the physical digital connection that we know our customers expect.  Second, we extended Apple Pay and Google Pay to our selection of digital payment options, building on our new payments platform and adding convenience and flexibility to the checkout experience. Third, building on the upgrade to our POS systems we talked about last quarter, we activated contactless payment options on handheld POS devices in many of our stores. This not only helped us maintain social distancing and keep register queues down during the holiday season, but also added speed and convenience for customers and associates.  Finally, we launched a pilot drop-ship program with Nike to activate additional inventory on our sites that is not held in our stores or warehouses. While it’s early on, the program aims to provide more of the right product at the right time to better satisfy customer demand in shortened lead times.  We often talk about the changing dynamics of the global marketplace and our laser focus on consistently enhancing the customer experience. To that end, in Q4 we established a new North America operating structure that created four distinct regions, each with its own geo leader and customer experience team.  Our goal is to put a hyper local lens on underserved primary and secondary markets by customizing our outreach to individual neighborhoods. Coupled with our community store strategy and partnerships with local brands, schools and organizations, this will enable us to sharpen our connectivity with our consumer. A test of this strategy in the Northeast last year yielded encouraging results, giving us the confidence to expand it across North America and begin testing it in EMEA.  Turning to our social responsibility initiatives, we continue to make great progress with our Leading through Education and Economic Development program or LEED, as part of our commitment to fight racial inequality and injustice, and exciting new developments within this effort include committing to invest $5 million in MaC Venture Capital, a black-managed venture capital firm dedicated to advancing businesses with diverse leadership; expanding our marketing partnerships and brand collaborations to 34 new black-owned brands and creators.  These include influencer partnerships and culture curators who define our brands and sneaker culture across social platforms; and enrolling nearly 100 team members in McKinsey & Company’s Black Leadership Academy, a program that extends from executive mentorship to management capabilities.  In addition, tying back to our LEED initiative, we are excited to continue working with our investment partner PENSOLE and its founder D’Wayne Edwards to introduce robust programing in 2021 aimed at developing the next generation of black designers. This includes education programs, scholarship opportunities, internships and apprenticeship programs.  In closing, I’m extremely proud of what we accomplished in 2020, but it’s only the beginning of a new chapter for Foot Locker Inc. I’m energized and looking forward with renewed optimism as we continue to advance our long-term strategies and build value for all our stakeholders.  We’ve gleaned many insights through this unique COVID period, from the power of our enhanced digital capabilities, to the strength of our relationships with our vendor partners, the depth of our connections with our consumers and the exceptional resilience of our global team. When viewed through the lens of our strategic imperatives, these insights will help guide our thinking into fiscal 2021 as we execute against a number of opportunities in the marketplace and strengthen our position at the center of youth and sneaker culture.  Looking to fiscal 2021, with robust product tailwinds at our back, we believe we are set up with momentum. That said, the bottleneck situation at the ports remains in flux. Our merchant teams are working hard to maximize productivity and full price sell-through. We should gradually begin to see receipt flows and inventory levels normalize.  I also need to add that the impact and uncertainty of COVID lingers on, forcing stringent lockdown requirements to remain in effect, largely in Europe. As a result, over 10% of our global store fleet is temporarily closed to comply with these restrictions. Even with uncertainty ahead, one thing that remains clear is the passion our customer has for this category and we are committed to meeting their needs. Of course, we will continue to adapt to the COVID situation in real-time, from market-to-market, putting the health and safety of our associates and customers first, while striving to deliver a standout customer experience.  Now, before I turn the call over to Andy, I’d like to take a moment to congratulate and thank Lauren for nearly 24 exceptional years here at Foot Locker. Her contributions over that time have been many, and under her leadership as CFO for the last 10 years, we’ve built a truly world-class finance team and she has been an incredibly valuable partner to me personally. While her retirement is well-deserved, she will be greatly missed. On behalf of the entire organization, I wish Lauren well as she moves on to this next exciting chapter of her life when she retires in April. I will now pass it over to Andy.
Andy Gray: Thanks Dick and good morning everyone. Let me also extend my thanks and congratulations to Lauren. It’s been a pleasure working with you and I wish you the very best in the years ahead.  On our business, the continued focus against driving product leadership and diversity, maximizing our omnichannel capabilities and enhancing our purpose in community initiatives were evident throughout the quarter even against a challenging backdrop. In total, our footwear and apparel business both declined low-single-digits, while our accessory business was down high-single-digits, largely due to continued softness in bags and shoe care.  The results in footwear were mixed with gains in our North American footwear business, offset by declines in Europe. Similarly, continued momentum in women’s and kids footwear, which delivered strong comp gains of high-single-digits and mid single digits, respectively was offset by a high single digit decline in men’s footwear.  By category, men’s basketball remained a bright spot in the quarter, delivering a low single digit increase led by strong storytelling and momentum around the key Nike icons, a strong pipeline of high heat Jordan releases and some compelling new initiatives by Puma and Reebok. Additionally, our season merchandise across genders was very strong throughout the quarter, up double digits with gains in Ugg and new introductions including Crocs. Meanwhile men’s running was down double-digits, primarily due to a shift in the launch calendar related to Yeezy.  Within apparel, women’s and kids also led the way with healthy double digits and low single digit gains, respectively. Men’s declined mid single digits. As Dick mentioned, although fleece in comfort trends remained strong, inventory challenges created a pressure point. That said, results improved throughout the quarter. Fleece was the biggest driver with good performances by Nike and Adidas, complemented by ongoing partnerships with the North Face, Chinatown Market and an expansion of our proprietary brands, which added new dimension to our business.  And across all product areas, our customers responded well to elevated store retailing, while our consumer content offering continued to deliver exciting exclusive programs. These included Fresh Perspectives, which featured unique versions of Nike’s iconic silhouettes, a successful kid partnership with Puma and L.O.L. Surprise and the launch of our own HYPEBAE collection to broaden our women’s assortment.  This was surrounded by the main event of the quarter, our ‘12 Days of Greatness’ campaign where we partnered with some of the industry’s top creators around the culture of basketball, including Just Don, Jeff Staple, Rhuigi, Melody Ehsani and many more. And we also continued to invest in new ideas through our greenhouse incubator and our homegrown initiatives which created energy and provided a platform and exposure to the next generation of creators and there’s a lot coming to market in Q1 to keep our consumers engaged and excited.  The culture of basketball remains strong. We will be celebrating city and community insights with our Nike Max Air concept, along with new and exclusive ideas against our key franchises with Adidas, Puma, Reebok and New Balance. We have a big seasonal push with Ugg, Crocs and Champion and we continue to develop new partnerships and programs with Diadora, HYPEBAE, K-Swiss and our homegrown brands. And lastly, we have a strong pipeline of ideas in apparel to maximize the continued trends shift we’ve seen these past few quarters.  In all, despite some of the external headwinds, our underlying franchises are strong and the many new ideas and concepts flowing into our business are resonating with our existing customers and bringing new ones to us as we continue to push our consumer offense forward with the combination of our connected product stories, our enhanced omni-capabilities and our focus on community and purpose that will strengthen our relationships with our consumers. With that, I will now turn it over to Lauren.
Lauren Peters: Thank you Andy and good morning everyone. We delivered solid bottom-line results in the fourth quarter despite facing macro challenges that pressured our top-line. Our comp sales declined 2.7%. This was largely due to COVID-related store closures and backlog at the U.S. ports, along with traffic declines in our largest global tourist markets. However, our gross margin improved compared to last year, both in dollars and on a rate basis, given healthy product demand and lower promotional activity on fresh inventory.  This helped to partially offset higher SG&A expense, resulting in a mid-single digit earnings per share decline in the fourth quarter, as our team executed nimbly against a dynamic environment. We are also pleased to report that total sales for the year decreased by only 5.7% to $7.5 billion. This is a noteworthy result, given the significant top line pressure we experienced in Q1 of 2020.  During the quarter our stores were open for roughly 90% of potential operating days, but the breakout between regions tells a more accurate story. U.S. banners were open for nearly 100% of total days, while Foot Locker Europe and Canada were lower at approximately 60% and Sidestep at roughly 50% given the COVID restrictions.  Taking a look at our fourth quarter results in more detail, total sales decreased 1.4% or 3% on a constant currency basis. Once again, our direct-to-customer channel led the way with a 44.2% sales increase, largely offsetting a 12% decline in our stores. As a percent of total sales, DTC rose to 27.4% for the quarter, up from 18.7% last year.  Overall, we believe the external factors we described earlier somewhat masked the underlying strength of the holiday season. As Dick mentioned, multiple divisions comped positive in the quarter. Additionally, the sequential momentum we saw through the quarter was encouraging as a low-double-digit comparable sales decline in November was largely offset by modestly positive comps in December and January.  Not surprisingly, the number of store closures in Europe and Canada, along with efforts to maintain social distancing measures through the higher volume holiday period resulted in a double-digit decline in store traffic, but our customers continue to shop with intent, driving conversion levels up 33% over last year. Average selling prices were up low single digits in the quarter, while units were down high single digits.  Taking a look at our performance by region, in North America Kids Foot Locker led the way with a double digit comp gain. Footaction and Champs followed, both increasing mid-single digits. Impressively, Footaction and Kids also delivered full year comp increases, up mid-single digits and low-single-digits respectively. Congratulations to the team for an outstanding job.  Foot Locker was essentially flat for the quarter, while Foot Locker Canada, which contended with numerous store closures was down double digits. Eastbay was also down double digits as sales of hard goods and team performance product faced the continued headwind of lower group sports participation, primarily due to the pandemic.  Internationally, Foot Locker Pacific continued its hot streak with comparable sales up double digits, capping off an impressive full year performance, which was also up double digits. Congratulations to the Foot Locker Pacific team!  Foot Locker Asia delivered a double digit comp decline, as COVID-related store closures had a significant impact on the smaller base of stores there.  Turning to Europe, as we’ve already discussed, widespread COVID restrictions across countries drove a double-digit comp decline at both Foot Locker Europe and Sidestep. Although the direct businesses were very strong for both banners, they could not offset the declines in their stores due to lower digital penetration rates.  Turning to the rest of the income statement, our gross margin leveraged by 160 basis points to 33.1% in the fourth quarter from 31.5% last year. Our merchandise margin rate was flat, driven by a meaningful reduction in markdowns, both on a sequential and year-over-year basis, offset by higher freight expense and a greater penetration of digital sales. The latter negatively impacted our gross margin by roughly 90 basis points.  With respect to our inventory position, although we achieved our goal of being at a healthy composition by the end of the fiscal year, our levels are lower than we would like. At quarter end our inventory was down 23.6% compared to the low single digit sales decline. On a currency neutral basis, inventory decreased 25.5%. As Dick said, we expect to see our inventory levels gradually normalize.  Leverage of our relatively fixed occupancy and buyers’ compensation provided us with 160 basis points of improvement versus last year. This was primarily driven by $29 million of COVID related tenancy relief during the quarter, mainly comprised of one time rent abatement. Our negotiations with our landlord partners remain ongoing with respect to additional rent relief.  Our SG&A expense rate in the quarter de-levered by 160 basis points to 21% of sales from 19.4% in the same period a year ago. Although our team continued to exercise discipline in managing expenses, the sales decline, coupled with nearly $4 million of PPE expense and 100 basis points of incremental bonus expense versus last year, contributed to this quarter’s rate. That said, roughly $9 million in government subsidies provided some offset. For the full year, our SG&A expense rate increased to 21% from 20.6% last year, primarily due to de-leverage on the sales decline as SG&A dollars were down 3.8%.  Depreciation expense was $44 million, down slightly to last year. We incurred interest expense of $2 million as compared to $2 million of interest income last year due to lower interest rates on our cash balances, as well as higher fees related to our amended credit facility.  On a GAAP basis, our tax rate came in at 22.9%, 380 basis points lower than last year, due in part to the current year Dutch rate change we highlighted in our press release, offset by the revaluation of certain intellectual property. On a non-GAAP basis our tax rate came in at 25.4% below last year’s Q4 rate of 26.1%.  Looking at our liquidity, we ended the quarter with $1,680 billion [ph] of cash and cash equivalent, an increase of $773 million from the end of Q4 last year. Working capital was a significant source of cash with the reduced inventory and increase in payables driven by receipt timing relative to last year, coupled with our cash preservation efforts early in the year. We currently have no outstanding borrowings on our $600 million credit facility.  Signaling confidence in our financial position, our Board recently approved a $275 million capital expenditure program for fiscal 2021. With our ample liquidity, we believe we have the financial flexibility to manage through near term macro fluctuations, while also resuming a higher level of investment into the business. As such, we plan to spend approximately $160 million to improve our store fleet in 2021, including approximately 100 new stores with further expansion in Asia and approximately 130 remodels or relocations of existing stores. We plan to close approximately 150 stores. The balance of the capital expenditure program is focused on digital and supply chain initiatives designed to further improve customer experience.  Turning to our return of cash to shareholders. This quarter we returned $15 million to our shareholders in the form of our dividend. Last week our Board declared a 33% increase to our quarterly dividend to $0.20 per share for the first quarter of 2021. Regarding our share repurchase program, we repurchased roughly 660,000 shares for $27 million. We will continue to assess additional opportunistic buybacks going forward based on the environment.  In terms of capital expenditures, we invested approximately $43 million into our business during the quarter, bringing our total for the year to $159 million, which was in line with our guidance. This funded the opening of 19 new stores, including the opening of our first stores in South Korea as Dick mentioned, as well as the remodeling or relocating of 39 stores, bringing the total year-to-date openings to 69 stores. We also closed 53 stores in the quarter, primarily in North America, leaving us with 2,998 company owned stores at the end of Q4.  Given the ongoing uncertainty of the pandemic and the low visibility into the impact on our operations, we are still not providing guidance at this time. However, as you think about your models for Q1, it may be helpful to consider the following:  Looking at sales, keep in mind that we are up against a 43% comp decline last year, as our stores were only open for 50% of potential operating days. Although the situation is much improved over last year, we are contending with over 10% of our store base temporarily closed due to COVID restrictions.  With respect to gross margin, given the level and relative freshness of our inventory, we expect less promotional pressure on merchandise margins as compared to last year. Additionally, our current forecast does not contemplate significant rent abatements. Also keep in mind that our occupancy cost as a rate of sales last year was artificially inflated due to the de-leverage on the steep sales decline. As such, we expect occupancy as a percent of sales to be closer to historical norms this year. Lastly, we expect elevated freight costs to remain a headwind.  With respect to SG&A, please take into account that PPE costs will be incremental in Q1 this year as we had virtually no PPE costs in Q1 last year.  Looking at our non-GAAP tax rate, for the full year we expected to remain somewhat elevated relative to historical levels, due to geographic shifts in income, though not to the same degree as 2020.  Before we take your questions, I’d like to thank the entire Foot Locker team for all their well-wishes as I prepare for this next phase of my life. My more than two decades at Foot Locker have been incredibly fulfilling, and I’ve been very fortunate to work alongside such a talented and dedicated group. In fact, it has been an honor.  I am extremely proud of our many accomplishments over the years and the strong team we’ve built. The decision to move on is certainly bitter-sweet, but I know the company is in very capable hands. I look forward to watching Foot Locker’s continued growth in the years ahead and will be cheering them on from the sidelines. With that, operator, please open up the call for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] The first question is from John Kernan from Cowen. Please go ahead.
John Kernan: Excellent. Good morning. Thanks for taking my question.
Dick Johnson: Good morning, John.
John Kernan: So, Dick, inventory dollars are at the lowest levels they've been in well over a decade, I think even longer than that. I'm just curious, how you think you're going to be able to service what could be elevated demand as stimulus checks start to mount. You obviously had a big second quarter. Last year when stimulus went out, curious, how you're viewing the environment to go after what should be fairly strong demand in the coming months?
Dick Johnson: Yes, we certainly anticipate the strong demand, John. And I think you have to rewind all the way to March and April a year ago, when we were starting to make adjustments. In the middle of Armageddon, we were making adjustments to inventory, pushing out, canceling, et cetera. We then came back and saw exceptional demand in the second quarter, and the merchant team worked with our suppliers to sort of reshuffle again, we’ve pulled inventory in where we could.  The similar situation in the third quarter where we exceeded, what would have been our thinking back in March/April certainly. And probably the thing that we didn't contemplate was a slowdown at the port, certainly in North America, where the delay on getting ships into port and the delay on getting containers through the port has impacted us as we got into Q4.  So, again, I think, our inventory levels will certainly begin to normalize over the quarter. We're working with our vendor partners to look for alternative routing, et cetera. But we – I guess having great sales is a good thing to have, right, and being able to service the customers in the first quarter, second quarter as we believe the stimulus package will in fact pass. The team is working hard to make sure that we get as much inventory available as possible. 
John Kernan: Got it. And then, Lauren, congratulations on your retirement. Thanks for all the help over the years. I wanted to see what your view is on the long-term shift to digital and the overall effect on the – not only the gross margin, but the operating margin line, but there was a headwind in Q4, I believe, related to digital growth. Some of that - some of the mix shift obviously will normalize in 2021. I’m curious though, as you look at digital now, how does this affect the long-term economics of the business?
Lauren Peters : Well, we want to service our customers however they choose to shop with us and we know that digital is really important to that journey. Though as we think about the long-term lasting impacts of what we've experienced this year, I guess, we'll look back at it and say, we were pleased to have had this hyper focus on digital, because it really helped us hone our skills, both in the technology and operationally to service that digital customer. So I’m - sometimes you get asked to predict, well, what's the level going to be? I don't pretend to know that. We know that when doors are open, our customers want to be in our doors as well. So we continue to see it being an omni business model that serves us well. But you asked about the impact on the P&L. As we've described now for several quarters, there's obviously the freight that comes with shipping that product the last mile to the customer. And so when you think about gross margin, those digital sales do bear a cost of the freight. We have BOPIS initiatives as well, so we see that the omnichannel offering allowing us to somewhat balance that, but that’s the primary differential there.  It doesn't bear the costs obviously of occupancy cost or selling wages to service those digital sales. So when you think about a finished margin or a contribution margin, primarily digital right, so contribution margin being a contribution to overhead, those digital sales have a rate that is more beneficial than a store sale which bears selling wages and occupancy. So that's the blend. And as you think about long-term, what it means to the P&L, well, it'll be about finding that right balance of stores and digital and optimizing the P&L overall.  So surely, we demonstrated in 2020 how strong our real estate team is at navigating occupancy and working with our landlord to find that productive rates on that occupancy. We have built into our occupancy lease terms a length of lease flexibility as we navigate North America rationalization of mall space. So I think all of these things set us up well to find the balance point as that ships out over the years digital stores. 
John Kernan: Got it. Maybe one quick follow-up on merchandise margin. Obviously, a lot of movement in the first-half of fiscal 2020. Is there anything stopping merch margin or preventing merch margin from returning close to 2019 levels given your – where your inventory levels are now?
Lauren Peters : Well, as we’ve just talked through this, there’s going to be this balance of digital stores and that will certainly have an impact on the margin with that freight component. But if you're asking me about markdown levels, which is another important element to that, I would say no. I mean, I think we've done very well at managing our promotional cadence, because we have always been very focused on making sure that the inventory quality is fresh and that has the primary impact on the markdown level. 
John Kernan: Got it. Thank you. 
Operator: The next question is from Jonathan Komp from Baird. Please go ahead.
Jonathan Komp: Yes, good morning. Thank you. Maybe a bit of a follow-up, but I wanted to see if you could give any more color just on how, from your vantage point, the vendors are handling some of the inventory constraints, but also the expectations for potentially strong sales in the month ahead. Just what are you seeing on the vendor side for the key partners?
Dick Johnson: Again, you have to remember that we operate in the futures world. So, our ability to pull inventory ahead is what we're really focused on today and working with the merchant teams and our vendor partners, we're –my belief is we're set up well for the quarter if we had no port congestion at all and no stores closed in Europe. So, there is a real balance point for us. And again, I think the merchants have done a good job of lining up the inventory. The question is the flow into our stores and into our distribution centers. But as it relates to our vendor partners and the relationships and their willingness to work with us to get the inventory levels where we need them, there’s no hesitation at all.
Jonathan Komp: Okay, understood. Thanks for that. And then maybe a separate question back to margin. If I look at the last few quarters here, you've been operating combined above 2019 sales levels. And pretty close from an operating margin perspective, just over the last three quarters if I look versus 2019, there's obviously a lot of noise in that. So any broad stroke thoughts looking forward how you should be able to recover margin in a sales recovery scenario? And if you get back to prior sales levels, are there different levers that you can get back towards 9% operating margins?
Lauren Peters : Well, I guess I would point you to, as you've already looked to 2019 and seeing the last year with a lot of noise and at the beginning of 2019 of course we talked about how we saw our longer term objective around the business as a P&L model and we would still see those as being objective. It’s like that we've got a shot at achieving over the longer term.  So a lot of noise in 2020, but as we look to things normalizing, I would only point you in the near term to we still have this incremental cost related to PPE and you know who knows how long that’s going to be with us. 
Jonathan Komp: Okay, I understood. Thanks and best of luck in the next chapter Lauren. Thank you.
Lauren Peters : Thanks so much.
Operator: The next question is from Paul Lejuez from Citi. Please go ahead. 
Paul Lejuez : Right, sorry guys. Thanks for taking the question. Can you talk a little bit about gross margin in the quarter by region? Obviously you talked about a flat merchandise margin, but any color you can give by region. Also any way to quantify the PPE cost that we should be thinking about for this upcoming year near term, both first half and second half.  And then last, just curious how you're thinking about the release calendar in the first half and how that might influence you know 1Q versus 2Q performance, and then you know again match that against what's going on in the ports? Thanks. 
Lauren Peters: Well…
Dick Johnson: I’ll let Lauren take it. 
Lauren Peters: I’ll take the first here and I’ll let Dick probably pick up the launch calendar. Just the regionality margin result in Q4 and even last year, it just got so much noise in it, right, because if you look at Q4, North America potential days opened, we were close to 100% and that kind of dynamic certainly is in contrast to Europe and Canada and about 60% in sites, that’s a 50. I mean those are just too different to really hold much value in picking them apart in the margin results.  But I can tell you, when customers can get in and shop, it doesn’t matter which of these regions, they’ll liked this product, they’ll like this category and they certainly see us as being a provider of really premium cool products. So PPE…
Paul Lejuez : On the Europe side though, you talked about weaker sales obviously, but did that also you know result in much weaker March margins compared to the U.S. business, which I think you said was flat on the Foot Locker side. 
Lauren Peters: When you’ve got that many doors closed, there is some level of promotional activity to ensure that you're keeping your inventory fresh, so it does have a correlation. Right, when the doors are open, you don't experience that to the same degree, you've got more options to move your product. So it does have a margin impact. 
Paul Lejuez : Right, but no quantification that you can provide. 
Lauren Peters: No, I just don't think it's going to be helpful with trying to paint the picture forward, because it just was so different.  On the PPE front, we've now had two quarters where the run rate on that was $4 million. So that's a pretty fair proxy for what you should expect and you know we'll see. We continue to experience that we've all become so used to carting around our own hand sanitizer, we bring it into the store and wherever we go, so there's less that falls on the retailers supply there, but masks and cleaning supplies and stock covers, all of these things are with us for a while. So that's a pretty good run rate to use as proxy for now.  Dick, you want to talk about the product? 
A - Dick Johnson: Yes when we jump to the launch calendar, we really like the way the launch calendar lined up going into the quarter. You know clearly the slowdown at the ports is having some impact on the throughput, but again from a launch versus launch, while the shift as we talked about many times week-to-week, sometimes month-to-month, the launch calendar lines up really well for us. So again, the team is working hard to make sure that we got the launch product available and that we prioritize that as it flows through the port and through our distribution center.  But I think there's you know equal excitement around some of the other programs that Andy referenced in the prepared remarks. When you think about bringing Nike Tuned Air product, you think about the Blazers that are coming in, you think about the big investment that we're making in the products; all of the work that we're doing with Puma and the RSX and the Rider and Suede I mean are great examples.  Our new balance 327, you know program was significant; our vans old school program is significant. The NMD program without Adidas, I mean just really great strong product that are, I’ll call it Monday through Friday sort of products as opposed to launch. But you know going back, specifically to your question, if the launch calendar lines up well, we are working hard to get those sneakers through the port and through into our stores on launch date. But the surrounding business is really strong as well, the receipt flow looks really strong as well. 
Paul Lejuez : Thanks guys. Good luck. 
Dick Johnson: Thanks Paul. 
Operator: The next question is from Susan Anderson from B Riley Securities. Please go ahead. 
Susan Anderson : Hi, good morning. Thanks for taking my question. I guess just a follow-up on the inventory levels. I’m just curious, is the product you know just sitting in the ports or on the water, you know just delayed. How do you see that flowing in over the first quarter and then where do you see inventory at first quarter end? And I think you mentioned a drop ship with Nike. Is that helping to alleviate the inventory issues at all or it’s still just very early days. And then I'm curious also, is Nike also seeing the same inventory issues? Thanks. 
Dick Johnson: Well, the question on the ports and the flow is something that I’m not willing to predict and guess, right. It’s all COVID as the port has slowed down due to COVID precautions and work-flows has slowed down. Once the product gets into our portion of the supply chain, you know I feel really confident that our team can move through the inventory and get it in the right place very quickly. So you know again, we think that it will start to normalize over the quarter, but you know we felt good about going into, last week and then we saw a snowstorm that threw off the intermodal sort of transportation that slowed things down. So there's a lot of variables out there.  The drop ship program with Nike is really in its early, early stages. So you know while we certainly believe there's going to be benefits to us, Nike and the consumer, it's just too early yet to put – say that we're seeing that impact moderate the inventory levels for us. And then as it relates to Nike inventory levels, that's a question that you’d ultimately have to ask them. I don’t think where their inventory levels are at, but we clearly work closely with them as we work through our inventory challenges and the ports and moving things as quickly as we can, looking for alternative shipping routes etc. 
Susan Anderson : Great, okay that's helpful. And then if I could just add a follow-up on men's footwear. I guess the decline in fourth quarter, how much of that was related to easy shift and then I guess just know lean inventory levels, and it sounds like you expect the pipeline in first quarter to be better than fourth quarter, maybe if you could give a little bit more color there? Thanks. 
Dick Johnson: Yes, well we wouldn't break down the specifics type Yeezy, but clearly the Yeezy launch ships to earlier in the year, you know had an impact on men’s in the fourth quarter. So that's a good read through Susan on that impact, but we won't qualify the amount of Yeezy’s that moved out of the quarter.  The pipeline, we do feel good about it in the first quarter and again, I think the flow is good, the programs that I mentioned, the launch calendar. If you go out take a look at footlocker.com in the launch calendar you can see some really, really great products lined up. Again, the biggest question is ultimately the flow through the ports and getting them into our doors and as it relates to all our digital sites.  Clearly in Europe with the number of doors that we got closed there, there will be a significant portion of the digital launch business. So again, there is a lot of moving parts and a lot of pressure points, but I think our team is navigating in pretty well and you know again, I guess having great sales in Q2 and Q3 and pulling inventory into those quarters has left us as Lauren talked about, a little bit leaner than we would like, but we do see that normalizing over certainly the first quarter and the first half. 
Susan Anderson : Great, that's really helpful. Thanks so much. Good luck this quarter. 
Dick Johnson: Thanks Susan. I appreciate it. 
Operator: The next question is from Omar Saad from Evercore. Please go ahead. 
Omar Saad: Good morning and thanks for taking my question. Lauren, congrats on a great career in your retirement. I wanted to follow up on the store closures. You mentioned that 10% are currently closed. Can you share that number, what it was throughout the fourth quarter? Obviously store closures aren't going to be permanent and the port issues aren’t going to be permanent. Maybe you could also give us a sense, you know how material the port back up was in the quarter. Is it you know something relatively smaller or is it maybe more meaningful, the drag there.  And then I had a follow-up question about the Nike inventory pilot too? Thanks. 
Dick Johnson: Well, you know Lauren hit on the door closure percentages or open percentages I should say across the quarter, across the geographies. And right now the door closure situation is mostly in Western Europe, you know specifically Germany you know with the big door account closed, the U.K. with the big door account close.  France has about 60% of the doors in places that are close; got restrictions in Italy where many, many malls are closed on weekends. You know so there's a lot of moving pieces there. Canada has just started to open up, especially Ontario I think is scheduled to open up in segments, so that's where our biggest store count is in Canada.  And keep in mind that across the U.S., in many jurisdictions we still face capacity limitations in stores. So you know we are in the same belief Omar that the closures aren’t going to last forever, but they certainly impact the fourth quarter.  If you go back and sort of take a look at the announcements by country, more in the last half of December through January, then November, first half of December. But there were some governments that took some pretty drastic closing measures as we worked our way through the quarter.  Sorry Omar, what was the second part of the question? 
Omar Saad: The port – was that a material – was the port backup a material impact on the quarter as well or relatively small. 
Dick Johnson: It’s a material impact for us, right. I mean there is – you know according to the wires, there’s about 30 ships that are backed up. You know not that we have product on all 30 of those ships. It's less about the backup than it is about the length of time that it's taking product to get through the port itself and you know we're seeing about two to three week delays and we have an awful lot of inventory that comes into the West Coast. So it’s a material number. 
Omar Saad: Got it, got it. And then Dick on the Nike inventory pilot, I know it's still really early. Is this contemplated as something that could be a significant addition to your overall kind of skews and choice count that's available? Is it going to be a certain type of product, a certain level or a premium level of product or categories of product or is it still too early to make those calls. 
Dick Johnson: Well, it will certainly be an enhancement to our offering, right. The program will continue to evolve with Nike as we figure out the puts and the takes of what works and what appeals to the customer, and what doesn't. But more importantly, its places that inventory is so loud that we have a chance to get more inventory.  So again, as we make sure that the pipes are working and that the communication works back and forth, we're slowly starting to expand this skew base that’s available, and you know I'll feel more comfortable talking about the possibilities as we get into 2021 a little bit deeper and we see the program work at its best, and as we continue to expand the opportunity with Nike. 
Omar Saad: That's helpful context, thanks. 
Dick Johnson: You bet. Thank you, Omar. 
Operator: Our last question comes from Robby Ohmes from Bank of America Merrill Lynch. Please go ahead. 
Robby Ohmes : Hey, good morning. Thanks for fitting me in. Lauren, congrats on the retirement, all the best. 
Lauren Peters: Thank you Robby.
Robby Ohmes : You’re welcome, and my questions maybe for you. I know you guys aren’t giving guidance, but could you just maybe give us some color on how you're thinking about wage pressures in general going forward for Foot Locker and maybe remind us where you're starting wages are?  And also on the freight side, I understand all the shortages near term, but what about – what's the freight cost outlook when you look through this year. Are there still pressures beyond getting – when you get beyond core congestion, so its sort of freight wages. Anything you can share with us would be great.
Lauren Peters: Yes on the wage side of it, as you know we ran a full service model in our stores and those drivers are a strategic competitive advantage. They – well, I just can't say enough about that team and our customer really values the experience with those associates. So of course, we want to make sure that we pay competitively and we do. And certainly as there is conversation about minimum wages that are increasing over the coming years, that will impact our wages. But we remain very focused on how we navigate that productively. This has been an ogling dynamic, and so the things that we have done to enable our sales associates to be more efficient, so that the hours are focused on their time with the customer, are very helpful to navigating the wage outlook.  We are equipping them with technology, so that it's more efficient as they are servicing that customer and we are doing everything we can to make their non-selling hours more efficient. And so these are the things that we think will allow us to navigate that change in wages as we look forward. We believe that there is still things that we can do there.  On the freight front, you know I don't know that we see that dynamic changing much in the near term. Certainly lot of folks still shipping everything everywhere and that that put pressure on that element, as that – you know can we look at a crystal ball and see a point where that normalizes and that’s less of a headwind; yes, it’s anybody’s call. 
Robby Ohmes : Got it. That’s very helpful. Best of luck again! 
Lauren Peters: Thank you. 
Dick Johnson: Thanks Robby. 
Operator: I would like to turn the call back to Mr. Lance for any closing remarks.
Jim Lance: Thank you for joining us today. Please join us again for the next earnings call, which we anticipate will take place at 9:00 am on Friday, May 28th. The call will follow the release of our first quarter results earlier that morning. Thanks again and goodbye.
Operator: Thank you ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.